Operator: Good morning. My name is Chris, and I will be your conference operator today. At this time, I would like to welcome everyone to CEVA Inc. Second Quarter Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speaker’s remarks, there will be a question-and-answer session. (Operator Instructions) I will now turn the call over to Richard Kingston, Director of Marketing and Investor Relations. Please go ahead, sir.
Richard Kingston: Thank you and good morning, everyone. Welcome to CEVA’s second quarter 2011 earnings conference call. This conference call will be conducted by Gideon Wertheizer, Chief Executive Officer of CEVA; Yaniv Arieli, Chief Financial Officer of CEVA; and I, Richard Kingston, Director of Marketing and Investor Relations. Gideon will cover the business aspects and the highlights on the quarter, followed by Yaniv who will cover the financial results for the second quarter and will provide guidance for the third quarter and fiscal 2011. I will start with the forward-looking statements. Today’s conference call contains forward-looking statements that involve risks and uncertainties, as well as assumptions that if they materialize or prove incorrect would cause the results of CEVA to differ materially from those expressed or implied by such forward-looking statements and assumptions. Forward-looking statements include financial guidance for the third quarter and fiscal 2011, market data from Strategy Analytics, IDC, China’s MIIT and certain customers incorporated herein, optimism about our customers product pipelines and market penetration, optimism about our products including the CEVA-XC and CEVA-MM3000 product line, projections relating to LTE and smartphone expansion, as well as the 3G expansion in China and trends relating to Internet-enabled HDTV and 3-DTV, a machine-to-machine devices, optimism about our ability to penetrate new markets beyond the cellular baseband market, as well as the positive impact on our business of these various factors. The risks, uncertainties and assumptions include the ability of the CEVA DSP cores and other technologies to continue to be strong growth drivers for us, our success in penetrating new markets and maintaining our market position in existing markets, the ability of products incorporating our technologies to achieve market acceptance, the effect of intense industry competition and consolidation, the possibility that markets for our technologies may not develop as expected or that products incorporating our technologies do not achieve market acceptance, our ability to timely and successfully develop and introduce new technologies and general market conditions and other risks relating to our business, including but not limited to those that are described from time to time in our SEC filings. CEVA assumes no obligation to update any forward-looking statements or information which speak as of their respective dates. With that said, I would now like to turn the call over to Gideon.
Gideon Wertheizer: Thank you, Richard. Good morning, everyone and thank you for joining us today. I hope you had the opportunity to review our press release with the financial results for the second quarter of 2011. We are very pleased with our second quarter results as we delivered revenue of $14.4 million which was at the high-end of our guidance and recorded a 36% increase over the second quarter of 2010. Whereas the revenue for the second quarter of 2011 was $8.3 million, a 60% increase over the second quarter of last year. Earnings per share on a non-GAAP basis were $0.22, 83% higher compared to the second quarter of last year. During the second quarter we concluded eight license agreements. Seven of the agreements were for our DSP cores, platforms and software and one agreement were for our SATA/SAS product lines. Geographically, four of the license agreements were in the U.S. and four entire Asia. Target applications for customer deployment are 4G and 3G baseband processors for handsets, infrastructure and smart grid, portable game console and SSD drives. The second quarter was an outstanding period for CEVA. Our result re-experienced this unique trend that has accelerated our growth in recent years and our testament to our robust product portfolio and noteworthy customer relationships. Our strong licensing revenue was a growing adoption of our CEVA-XC DSP core included -- including three new agreements for product targeting 4G equipment. Also our other DSP products were selected for new designs of mark-to-market 3G phones and portable game consoles. On the royalty revenue, we saw a strong increase of 60% compared to the second quarter of last year. Shipment volumes increased approximately 5% sequentially, mainly due to increase in the lucrative 3G smartphone and TD-SCDMA market segments, which helps to offset other traditional of (inaudible) seasonality effect in the 2G space. Let me take few moments to provide some additional details on our licensing revenue. As I mentioned, we concluded three new CEVA-XC agreements in the second quarter. The new CEVA-XC agreements are Tier 1 OEM in semiconductor company, who claim to use the technology for 4G smartphone and smart grid equipments. The common thing with this design win is the capability of the CEVA-XC to enable unified software-based architecture, which has to process multiple radio protocol such as LTE, HSPA+, CDMA, GSM with one DSP. We have explained in the past that the CEVA-XC appeals to those new designs were cost and power consumptions on key factors for mass market adoption. For example, the valuable points today such as the HTC Thunderbolt, Samsung Droid Charge and the recent LG Revolution are all using multiple chips to support LTE and other standards. These can be collapsed into one CEVA-XC baseband chip that will support all these revenue protocols in a software-based architecture thereby leading to lower power, smaller and cheaper product. Our CEVA-XC market reach extend beyond handsets to arrange a product collectively called machine-to-machine or M2M. One of the new CEVA-XC agreements is with the customer that is focused on one of the largest segment of M2M smart group. Ericsson expects that all types of machines such as DVD player, refrigerator and traffic system will soon be linked to a mobile network, in fact Ericsson expects that there will be 50 billion wireless connections by 2020. CEVA is well positioned to capitalize on these trends and has already achieved numerous design wins with multiple Tier 1 players for the CEVA-XC. This is an impressive achievement for new products that’s only been commercially relevant for one year. Before handing the call over to Yaniv for financial and guidance, I would like to go through the main highlights of our markets and key customers. First, the LTE space. According to Strategy Analytics, 2.2 million LTE baseband chip will shipped in Q1 ‘11, compared to 1.4 million for the entire 2010. Meanwhile, the adoption of LTE technology by operator represents the fastest growth for any mobile technologies. The Global Mobile Suppliers Association, GSA, predict the 208 operators in 80 countries are either operating LTE network committed LTE rollout each while or otherwise actively pursue LTE technology. In recent quarters we have consistently realized significant design wins in a number of different market segment for LTE, including smartphone data cards, base station and smart grids. There are already LTE smartphone in service such as the Samsung Droid Charge, SCH-i510 and the Samsung Craft SCH-r900 that are enabled by our DSPs. We believe we are well set to benefit from growth in LTE as it further grows. Smartphones, according to IDC, vendors are expected to ship total of 472 million smartphone in 2011, compared to roughly 305 million units in 2010. This figure will approach 1 billion units by the end of 2015. There are already numerous smartphone enabled by our DSP technology and now reaches the latest Samsung Galaxy S2, a 4G phone that the Samsung is -- the companies fastest selling phone ever, with exactly 3 million units within 55 days of its launch. The services of Galaxy S smartphone will fall more than 10 million units since its launch. The track condition for the smartphone market to further extend its volume is the availability of lower price smartphone that can reach emerging markets such as China and India. We see this trend develop opportunity to capitalize on our strength in low cost, lower DSP to expand our market reach and revenue base. For this purpose we have recently started to introduce an entrance into index ethnical evaluation by potential customer for newest MM3000 Multimedia Technologies. This product found its application process of portable devices such as smartphone and tablets in addition to digital home devices such as set-top boxes and small digital TVs. MM3000 is the only IP platform that can support both HD video including 3D video and vision on one DSP. Initial feedback by key customer is astonishing. China, according to China Ministry of Industry and Information Technology, MIIT, the number of mobile phone user in the country reached close to 900 million users during the second quarter of 2011. To put this in perspective the U.S. currently has about 300 million users. China present a massive growth opportunity for 3G technology, where there are MIIT data the current 3G penetration range is only 80 million users or 9.5%. The 3G migration in China and India is one of the key strategic growth initiatives for our customer. We are well positioned to execute this opportunity as our customers can leverage their experience and cost driven design to further expand this technology. As you may know a 3G baseband result is significantly more complicate than 2G results. With honorably delayed due to 3G product range for more than a year to continue – due to continued technology aspects. We are now partners Intel, Broadcom and ST-Ericsson only begin design wins with local brand with high volume potential, which all enhances CEVA positioning in this very attractive market. Broadcom, in its first quarter result, Broadcom says that it expect a decline in its revenue from baseband in the second quarter. The [cosmic rental fee] this is not a market related issue but more then a timing issue regarding softness of its largest customer. However, in its yesterday second quarter conference call, the company stated that its mobile and wireless business will rebound sharply, up double-digit driven by strength across all lines of business. The company itself have recently achieved important 3G design win with three-multi customer GT, [Valway] and PCL. Also it believed billions of its 3G products at Nokia will starts in 2012. All Broadcom product have CEVA power, including the two new recent single-chip baseband and application processor for local Android base smartphone, the DCM 21 654 and DCM 28 150. CEVA continue its strong progress in its two main markets. The 2G feature phone for emerging market and the TD-SCDMA, the 3G version for China Mobile. Industry sales expect the market for street down handset to grow to 750 million units this year, up from 620 million a year ago. Addressing the 2G market, Broadcom recently introduced two new chips the [XC 6610 and XC 6620] a low costs single-chip that combined baseband and advanced multi-media for low costs feature phones. And the 3G phone industry focused today that present should have approximately 40% to 45% market share of the TD-SCDMA chipset market in 2012 all further chipset will incorporate CEVA DSP. ST-Ericsson, the Strategy Analytics is over 60% of Samsung 2G phone including its dual-sim offering, they are all CEVA-based also Samsung Galaxy S 4G and LG 4G, two HSPA+ smartphone are enabled by ST-Ericsson chipset and also based on CEVA DSP. Last but definitely not least Intel showed 98% year-over-year growth in Q1, 2011 versus the prior year, first started analysis full, it is mainly due to strength in smartphone and 2G and 3G feature phone. Also Intel HSPA+ platform XMX-6260 is feature in the Samsung Galaxy S2 smartphone. All Intel-baseband chips are CEVA-based. So to summarize, we believe as of driving our business remain strong. Semiconductor companies and OEM are realizing the contribution and the value of our technology in IP mobile has enable us to effectively leverage DSP for high volume market. We are particular encouraged by strong licensing activity and pipeline with CEVA-XC for royalty. Also the initial feedback for our new MM3000 multimedia product line indicate that our potential customer believe the technology offer a compelling value preposition, thereby enabling promising licensing opportunity going forward. Finally, the company continued to show consistent success in our financial. In particular with comparing the first half of 2011 and the first half of 2010, our total revenue increased 39%, royalty revenue increased by 72% which resulted in a significant 123% increase in non-GAAP operating income and 105% and 88% increase in a non-GAAP net income and EPS, respectively. With that said, I’ll turn the call to Yaniv Arieli for financials and guidance.
Yaniv Arieli: Thank you, Gideon. I’ll now review the results of our operations for the second quarter of 2011. Revenue for the second quarter was $14.4 million, at the high-end of our guidance range, reflecting significant 36% year-over-year increase. The revenue breakdown is as follows. Licensing revenue was $5.2 million, reflecting 36% of total revenues, 13% higher than the second quarter of last year during which we recorded $4.6 million. Royalty revenue was $8.3 million, reflecting 58% of total revenue and 60% higher than the second quarter last year during which we recorded $5.2 million. Service revenue for the second quarter of 2011 and ‘10 was $0.9 million, which accounted for 6% and 8% respectively of total revenues. Our gross margin was 94% a record high on both GAAP and non-GAAP basis, compared to 92% for both for the second quarter of last year. As for the quarterly operating expenses, research and development expenses were $5.4 million for the quarter, including approximately $484,000 of equity-based compensation expenses. Sales and marketing costs were $2.3 million, including approximately $255,000 of equity-based compensation expenses and our G&A costs were $1.7 million, including approximately $371,000 of equity-based compensation expense. Our total operating expenses for the quarter were $9.5 million, which included aggregated equity-based compensation expense of approximately $1.1 million, approximately 21% higher then the operating expense levels for the second quarter of 2010. Our total operating expenses for the second quarter, excluding equity-based compensation expense were $8.4 million, reflecting the mid to upper range of our guidance, approximately 14% higher then the operating expense levels for the second quarter of last year and similar to the level we recorded in the first quarter of this year. U.S. GAAP operating margins for the second quarter increased 57%, the 28% of sales and only 18% for the same quarter last year. On a non-GAAP basis, operating margin for the second quarter excluding equity-based compensation expense increased 58% to 36% in sales from only 23% for the second quarter of last year. U.S. GAAP operating income more than doubled in the second quarter in this year compared to 2010 from $1.9 to $4 million. Non-GAAP operating income increased 114% from $2.4 million in the second quarter of 2010 to $5.2 million in the second quarter of 2011. Interest and other income for the second quarter was $717,000 higher than our estimate due to some FX effects and higher cash balances. On the tax front, we recorded a quarterly tax expense of $0.6 million on U.S. GAAP basis and a tax expense from $0.5 million on a non-GAAP pretax income basis, this accounting for 13% and 9% of pretax income respectively. With changes for one quarter to the other in our tax expense and due to the geographical nature of the deal closed and recognized within the quarter. U.S. GAAP net income for the quarter increased significantly by 94% to $4.1 million and fully diluted net income per share increased by 70% to $0.17. This compares to $2.1 million and $0.10, respectively for the second quarter of 2010. Non-GAAP net income doubled by a 102% to $5.4 million compared to the same period last year. Non-GAAP pre-diluted income per share increased 83% to $0.22 per share, compared to the same period last year. These figures exclude approximately $1.2 million and $0.5 million of equity-based compensation expenses net of taxes for the second quarter of 2011 and 2010, respectively. Other related data, shipped units by CEVA licensees during the second quarter of 2011 were a record 247 million units, up 93% and 5% from the second quarter of last year and first quarter of 2011. Of the 247 million units shipped, 222 million units or approximately 90% are for baseband chips and reflect 4% higher volume that compared to the prior quarter in which 214 million units of baseband chips were shipped. As of June 30, 2011, 29 licensees were shipping products incorporating our technology, the same as the previous quarter. We selected 38 shipping customers under licensing arrangements. As for the balance sheet items, as of the end of June, CEVA’s cash and cash equivalent balances, marketable securities and long-term bank deposits reached a record high of approximately $153 million, compared to $143 million as of March 31st this year. During the second quarter of 2011, we generated positive cash flow of approximately $9 million. Our DSOs for the second quarter of 2011 was 23 days compared to record low DSO of seven days in the first quarter and approximately 40 to 55 days in January for the prior quarters. Now for the guidance. As discussed earlier, we are experiencing a healthy licensing pipeline and backlog for our DSP technology. On the royalty front, we do not get all the royalty growth we had for the second core shipment and we have still lifting few important parts. In general, we could say that we will plan to record slightly higher sequential royalty revenue for the third quarter powered mainly from the growth in 3G smartphone which will somehow offset fast net to the specific but rather large customer in the 2G space. With regards to full year guidance, we’re adjusting an upward gain based on actual first half results and guidance for the full quarter which I’ll elaborate in a moment. Our guidance for the first -- for the full year. Total consolidating net revenue is expected to be between $57 to $59 million. Gross margin is expected to be in the range of 93% to 94%, slightly higher than in our prior guidance. Operating expenses, including equity-based compensation are expected to be higher than 2010 level as we experiment prior calls. Our overall operating expenses are forecasted to be in the range of $36.9 to $48.9 million. Annual equity-based compensation is forecasted to be approximately $4.8 million of which approximately $0.2 million is in cost of goods. Our annual operating expenses, excluding equity-based compensation are expected to be in the range of $32.3 to $34.3 million and have not changed from our prior guidance. Interest income is expected to be around $2.3 million. Tax rate for the year is expected to be approximately 13% on GAAP basis and 12% on non-GAAP basis. Share count for the year in the range of $24.3 to $24.5 million shares. And to summarize our U.S. GAAP EPS is expected to be in the range of $0.64 to $0.68 per share and our non-GAAP EPS excluding the aggregate, so called $8 million of equity-based compensation expenses is expected to be in a new high range of $0.82 to $0.88 per share. As for the guidance for the third quarter of this year, revenue is expected to be in the range of $13.8 to $14.8 million. Gross margin is expected to be between 93% to 94%. Our operating expenses, including equity-based compensation expense are expected to be slightly higher than the second quarter of this year on a GAAP basis due to 120 CEVA related expenses and in the range of $9 to $10 million. Of our anticipated operating expense for the third quarter $1.3 million are expected to be attributed to equity-based compensation expense. For our non-GAAP operating expenses are expected to be slightly lower than the second quarter and in the range of $7.7 to $8.7 million. Interest income net is expected to be approximately $600,000, tax rate for the third quarter approximately 13% on GAAP and non-GAAP basis, share count for the third quarter $24.3 to $24.5 million shares and to summarize our U.S. GAAP EPS is expected to be in the range $0.14 to $0.18 per share and our non-GAAP EPS excluding the aggregate $1.3 million of 120 CEVA related expenses is expected to be in the range of $0.19 to $0.23 per share. Operator, you could now open the floor for the Q&A session.
Operator: (Operator Instructions) Your first question comes from the line of Joseph, I’m sorry, Joseph Wolf with Barclays.
Joseph Wolf – Barclays: Thanks. Two questions. One is that some of the CapEx for the next-generation LTE network seems to be fast track at some large carrier, at least in United States. And I’m wondering if that’s showing up in your design wins, order patterns and if things are moving faster than we expect? Second question would be, it’s global trends in the iPad or -- I’m calling it the iPad but the tablet market seems to be only the iPad right now and I’m wondering what the CEVA is seeing with some of the non-handset in the tablet world right now?
Gideon Wertheizer: Okay. Joe, this is Gideon. And let me take these two questions. First of all, regarding LTE, we do see traction, designs scouting for LTE. As I mentioned in my prepared remark, we had three deals for this quarter. We have the pipeline on LTE, by the way both in the handset side and the infrastructure. The infrastructure is a bit more advanced because for LTE you need the infrastructure first. So that’s when it comes to the LTE question. Now regarding the tablet versus handset, we -- at least we don’t know exactly what -- LTE tablet, some of them or part of them are modem, 3G or LTE going forward. We don’t know exactly the share or how many tablets are with LTE or 3G, but I believe some of them are there but I don’t have a definite answer for this. Joseph later maybe added, if you look at our customer base each and everyone have a baseband, especially LTE solution and we could look at Intel, Broadcom, ST-Ericsson in the sense are all targeting the same market that you just mentioned. So and then they will benefit from this in growing market other than the base the traditional handset, of course that will automatically be reflected in our royalty numbers and our business, because we will enjoy that growth in the next potential market on top of the traditional say it firm. One more maybe and in this companies to the extend of the design wins that we have for tablet in general for a data driven products, As clearly shown in the latest conference call they spoke about Ericsson to their customer, they’re doing the modem or the data card for tablet that 100 design wins so far.
Joseph Wolf – Barclays: Great. Thank you.
Gideon Wertheizer: Thank you, Joseph.
Operator: Your next question comes from the line of Matt Robison with Wunderlich.
Matt Robison – Wunderlich: Hi. Good morning. Couple of housekeeping, I’ll just start with, could you give headcount and then differentiate your cash flow from operations versus OpEx and then provide CapEx? Thanks.
Gideon Wertheizer: Yeah. Headcount is 192 people for the end of June, we added few more mainly in R&D and some in the technical support people across the globe and our CapEx was about a $150,000 and what was the third?
Matt Robison – Wunderlich: Cash distribution?
Gideon Wertheizer: Cash was a $3.8 million from operating activities.
Matt Robison – Wunderlich: Okay. So the other five and changes from auction exercise?
Gideon Wertheizer: About, yeah, there was about, such five from auction and some tax related and any cash flows.
Matt Robison – Wunderlich: What was linearity of the licensing like in the quarter?
Yaniv Arieli: We closed a deal. I think that this time around it was relatively linear compared to the traditional business in the IT space which is usually or have been in the past more backend loaded. I think the reason is that -- the same reason that Gideon just explained about and with the prior question about the LTE adoption that we see why XC as last core and Q1, we see why XC is going in two ways I think that we are seeing a pretty strong and healthy licensing environment in that’s showing a little bit maybe the rule that we have been used to in the past on the licensing front.
Matt Robison – Wunderlich: But you see licensing up or down as a percentage of revenue in third quarter?
Yaniv Arieli: It was 36% versus 34% last quarter, slightly higher but above $5 billion than this, I think that’s the good benchmark for us that we hope to continue, at least for the Q3 we planned to continue.
Matt Robison – Wunderlich: Okay. Were there any catch-up royalties?
Gideon Wertheizer: No. There are not.
Matt Robison – Wunderlich: Now what portion of the, I know you mentioned some CEVA-XC licenses. What portion of your DSP licenses for HD audio versus baseband?
Gideon Wertheizer: 90% were baseband including the quantity we said that in the prepared remark...
Matt Robison – Wunderlich: No. I was talking about licenses?
Gideon Wertheizer: I think most of them were CEVA-XC, out of -- most of them are baseband. Seven DSPs, three XCs, the majority is baseband. Baseband every segment of it not just, I certainly say six out of the six we have HD every six out them was baseband one with HD audio.
Matt Robison – Wunderlich: Okay. And then you mentioned multimedia 3000, sounds like you’re on schedule was that one for license -- to license in the first quarter of next year, is that the right takeaway?
Gideon Wertheizer: I believe we planned at least a target to do it earlier than that in 2011.
Matt Robison – Wunderlich: Okay. So, fourth quarter, right?
Gideon Wertheizer: Somewhere in the second half.
Matt Robison – Wunderlich: Okay. Sounds good. And I want to congratulate you for first on the retain earnings into the positive for the first time?
Gideon Wertheizer: Yeah. Thank you. We will join deal for that for later on this evening.
Matt Robison – Wunderlich: All right. That’s it from me.
Gideon Wertheizer: Okay. Thank you, Matt.
Operator: Your next question comes from the line of Anil Doradla with William Blair & Company.
Anil Doradla – William Blair & Company: Hey, guys. Couple of questions. You talked about some weakness or software -- softness with the large customer. Can you give a little color and does your guidance account for that weakness or you’re accounting from -- for some revenues from that large customer?
Gideon Wertheizer: Yeah. Well, it’s a deep confusing here, we are guiding for our next revenue which reflects Q2 ‘11 shipments and we know in the quarter there was a Tier 1 customer that has issues with inventory in China that use our technology, so that’s the softness and yeah, we accounted in our guidance.
Anil Doradla – William Blair & Company: So...
Gideon Wertheizer: Anil, maybe to give a little bit more color on this, to say maybe some of the direct customers of ours, but an end customer, an OEM means that using our baseband by different -- some of our different customers.
Anil Doradla – William Blair & Company: So this issue was China specific inventory issue?
Gideon Wertheizer: Yeah, yeah. And based on the yesterday conference call of Broadcom these looks like behind us, little bit next quarter.
Anil Doradla – William Blair & Company: Right. Now, when I look at the balance sheet deferred revenues went up, I think first time I’ve seen the move in the deferred revenues. Can you explain what happened there?
Gideon Wertheizer: Yeah. Sure. We closed the deal with the Tier 1 strategic player. One of our technologies and have additional services that we have to work on as part of that licensing deal. So we are not able to recognize that in Q2 and we’ll be able to recognize that later on, we hope most likely in Q3 when we finish the additional services around the DSP core. We got faith for that deal, this is why it’s even deferred but it was not recognized yet and it will be, probably most of it or all of it in Q3.
Anil Doradla – William Blair & Company: So that was tied to the licensing business?
Gideon Wertheizer: Correct.
Anil Doradla – William Blair & Company: And finally, can you comment about how should we be looking at your ASPs? I mean, clearly you had some good volumes but the ASP, is it a mix driven or is it pricing pressure driven, going forward how should we be looking at that?
Gideon Wertheizer: No. I don’t think anything will change in our model or pricing or any of the deal. Essentially, we know there are different step function and different agreement that we have and if our customers reach the certain levels, we just had lower step function with regards to a single customer in the 2G space. So when we reach that lower level from now on and incremental volume should increase the overall royalty revenue for us and from time to time, I think the mix is that new customers that starts kicking in, they all will be paid higher royalties because of this mechanism and when you get to certain levels, there could be a step function down there from time-to-time. So, I think, this is exactly same as we had before. This time around we just experienced this step function, lower step function and interestingly to mention and I think, I’m not sure if you highlight this enough, our 3G smartphone, TD-SCDMA market share increased. So we are seeing more and more and we believe that the mix going forward it will be towards 3G as we progress and our customer’s progress and of course, that could bare also higher expense and higher content for us.
Anil Doradla – William Blair & Company: And finally, Gideon would love to hear your kind of macro thoughts. There’s obviously been some concern about slowdown weakness macro related issues. You’ve referred to some inventory issues in China. But what are you seeing out there and how do you look at the second half of the year from a macro point of view?
Gideon Wertheizer: Well, from our perspective when it comes to the handset space, I -- the way we see the 3G growing. We don’t see at this stage softening, I know the Qualcomm, clearing about softness on the other end, Broadcom see its strength. Its smaller company related. The reason for issue is again a specific customer issue. It is not an industry like or things. So, it all relates to customer-specific issue, it’s a very competitive landscape. So at the end of the day it’s a zero-fun game. So it’s -- Nokia loves when it comes to games and you have to be on the right track. We all know Samsung becoming the largest -- I believe it’s going to be the largest handset maker and we are all over the place then.
Anil Doradla – William Blair & Company: All right. That’s all for me. Thank you very much guys.
Gideon Wertheizer: Thank you, Anil.
Operator: Your next question comes from the line of Daniel Meron with RBC Capital Markets.
Daniel Meron – RBC Capital Markets: Thank you. Hi, Gideon and Yaniv. Congrats on the ongoing execution. A couple of questions. Yaniv, can you provide us a little bit more details on the 10% customers that you have in the quarter or through 2010?
Yaniv Arieli: Well we have two 10% customers only in Q2 versus for Q1. So, that means you did not -- great deals signed. It’s a little bit of a different mix than we had in the first quarter. None of that 10% exceeds 15%. So that’s a little bit more color on this quarter.
Daniel Meron – RBC Capital Markets: Okay. Can you mention who they are?
Yaniv Arieli: No. We never do. They are large customers, large players, of course, because we need a 10% customer, they need a large routine new type of licensing deal or large royalty payers or both. It could work out, but this is usually the combination when we do have a 10% customer. This usually comes from a large one-time licensing deal or ongoing large consumer (inaudible) royalty.
Daniel Meron – RBC Capital Markets: Right. And I think maybe it was on your fourth quarter earnings call, you guys pointed to a very strong royalty business that come in as expected. And then on that call you covered a little by little bit or retained some expectations on the licensing side and feel that so far in the first half of the year the licensing business was pretty strong, you did refer to that a little bit on the call, but has anything specifically changed within the market or within your execution that is driving the ramp-up in the licensing business? Are there any specific metrics that are driving that we should be noting going forward on this front? And how should we think about into 2012 off the base that, that similarly a little bit higher than what we expected in the licensing segment?
Gideon Wertheizer: Yeah. Daniel, it’s Gideon. Let me try and take it. I wouldn’t go to 2012 and you know, our approach about licensing, we are taking it once at a time we see. The reason that you see uptake in the licensing at least in the last two quarters of the year is the need in the market for a LTE and engine that we are providing the CEVA-XC that allows you to basically to support multiple standout in June elaborated in my prepared remarks this would drive the -- mix. Pre-agreement for CEVA-XC in Q1 and other three in Q2, this is an outstanding achievement and then it shows that there is a market for this kind of product. I wouldn’t take it further, let’s see. We have in the second half of this year, but we are now in the second half of the year. We have another new product which takes us to another market there in 2000. So we have -- the trend is positive, but we have to see how it -- proper growth.
Daniel Meron – RBC Capital Markets: Okay. And then just last question for me, maybe I missed the DSP -- the DSP market share that you have right now overall in the handset market and also cash usage, you guys, I am asking about cash power which is great, any update on that front?
Gideon Wertheizer: Interrupting in particular, pretty much the same accounted that we had in prior quarters. What we are trying to look now is how to grow the business into these new markets that we mentioned and talked about earlier. We already made good progress in moving out of the traditional baseband for handsets. We moved to infrastructure. We are moving in the same CEVA-XC and especially MM3000 solution, to consumer, to set-top box, to a brand new market and from there these types of markets we would like and look for an add-on softer pieces or capabilities to enhance our offering. So, I think you if you do put the cash to work remember in the next 12 months it would be for small type of features, technologies that we’re missing and enable us to get and penetrate new markets, a very interesting opportunity the royalties and of course the first-hand licensing and for now that is the way we are targeting to put the cash to work.
Daniel Meron – RBC Capital Markets: Great. And then just market shares in the handset space that I might have missed earlier?
Gideon Wertheizer : Sorry, 41% same number as last quarter.
Daniel Meron – RBC Capital Markets: Okay. Did anything change in the start or some like the other definition or is it just because you had -- you did reflect some of the issues that -- was one of your key customers?
Gideon Wertheizer: No. I think it all has to do with what we just talked about this large player in China that that changed the bit the mix of the overall revenues and our baseband increased about 4% from Q1 to Q2. So we have gained more, but a little bit of a different mix from the market point of view, but we believe that this number should continue to grow as we grow along.
Daniel Meron – RBC Capital Markets: Okay. Thank you, Yaniv and Gideon. Good luck.
Gideon Wertheizer: Thanks, Daniel.
Operator: Your next question comes from the line of Gary Mobley with Benchmark.
Gary Mobley – Benchmark: Hi, guys. I was hoping to dig down a little bit deeper into the one license deal which has a larger service element to it. To look at your deferred revenue, it looks like it’s probably $3 million above the norm and you mentioned most of that will be recognized in the third quarter. So it looks like you’ve got 60% of your license revenue covered just coming from that one service deal, so I am just curious why you are taking perhaps the other 6 to 8 license deals as you might close during the quarters as usual by only $14 million?
Gideon Wertheizer: Well, I think your calculator works pretty good in this early morning hours and that same goes with our model traditional guidance and the prospects and I think they call this together I think we are taking -- our licensing revenues are much higher maybe not of the same magnitude, these are deferred but we still have to finish these services there and with that said we will continue to work on other deals and work hard in other deals and in other markets. So I think you have the same picture and we will take a step-by-step and see what we get.
Gary Mobley – Benchmark: Okay. You mentioned this particular license arrangement with the service element is with Tier I customer, is this an indication of -- or perhaps a slight change in CEVA’s licensing approach and might there are be other Tier I customers identical to this one wishing to engage with CEVA perhaps as a result to the transition to 4G?
Gideon Wertheizer: No. No, there is no change in the practices. There are opportunities to do this year in IT. The customer will take and deal with it using it as a -- but from time-to-time we are getting feedback from customers. It’s not a -- it could be applicable for other customer as well and we are – we’ll do this work, but in general I would say that in most of the cases 90% plus cases it’s official stuff.
Gary Mobley – Benchmark: Okay. How many first-time licensees did you have during the quarter and what is the cumulative basis and that’s it from me? Thanks.
Gideon Wertheizer: Maybe it’s one, 202 -- 201 or two. Yeah -- Gary, one or two.
Gary Mobley – Benchmark: That’s it from me. Thanks guys.
Gideon Wertheizer: Okay. Thank you.
Operator: Your next question comes from the line of Jay Srivatsa with Chardan.
Jay Srivatsa – Chardan: Yeah. Thank you for taking my question. Looks like ARM yesterday looking beyond Q3 were a little cautious about Christmas sales and I think Broadcom also talked about some weakening in consumers spending. Could you address what you are seeing out there or is that of concern to you as you look ahead to the second half?
Gideon Wertheizer: I would say, holy grail – holy grail going into the handset space or in the cellular space, not too much into consumer. Our consumer overall competition in the business is about 10%, 90% is baseband and cellular. So, if there is a consumer issue and the consumer in the form of things the people are buying for home, we don’t see come out and (inaudible) now. When it comes to cellular, our business is very much spread. We have emerging market 2G. We have 3G going into emerging markets, 3G going to Smartphones. So it’s spread all over the place and there is a specific niche segment, an issues, we’ll find out, but right now, we don’t see.
Jay Srivatsa – Chardan: All right. Looking beyond fiscal ‘11, as you look at your cash position, are there any specific areas where you are making capital expenditures that could come to bear for you in the next year or so?
Gideon Wertheizer: Capital expenditures, no, -- under the regular CapEx on a quarterly day sales, you know, it is mainly for our engineers, computers, different software, EDA tools. This is the main CapEx and then expenses for us on an annual basis. I think when we talked about incremental add-on, it was around the potentially small M&A transactions of add-on technologies, not necessarily from the CapEx unless we call it, for that to be CapEx.
Jay Srivatsa – Chardan: Yeah. Thanks for answering my question.
Gideon Wertheizer: And now -- thank you.
Operator: Your next question comes from the line of Vijay Rakesh with Agee.
Vijay Rakesh – Agee: Yeah, guys. Just mentioned -- just on the licensing side that you mentioned -- as you already said you mentioned that one of the licensees that’s delayed, do you -- and do you see to update your core numbers when you finally get those numbers? Do you think you will update those or?
Gideon Wertheizer: How to say? Right now, we are not planning on changing any scene in the model. We gave a higher guidance for Q3 for the whole year. They remind that we increased the top line but we have not increased our non-GAAP operating expenses for the assumed leverage ticking. So, for now I think we are comfortable and we’ll see where we get to, but this has not been a common practice in the past and what we have, if you are looking even in prior years every once a while we did have some expenses and if you recall the expend that some of that already given the cost of goods, because of percentage completion or supply part of similar mechanism. So, I think it’s a good position to be at, but for now we are now we are taking it business as usual and we continue to try to gain more traction.
Vijay Rakesh – Agee: Okay. On the single chip the LTE and 3G that you mentioned, when do you see your customers sampling on the single chip?
Gideon Wertheizer: In single chip the application percent – basement?
Vijay Rakesh – Agee: Yeah -- I know the LTE and 3G combined the MM3300 and --
Gideon Wertheizer: Yeah. I know, Well, in my opinion, you are going to see chips at the beginning of next year.
Vijay Rakesh – Agee: Okay. And lastly you made some comments on MediaTek, can you give some more color there?
Gideon Wertheizer: You know, MediaTek is a -- competes with our customers in the 2G space. In this case, it looks like our customers and we have at least two significant warning on two customers that really focus on the 2G. They are getting the market share and taking share in the 3G. MediaTek is a newcomer and they don’t have new design wins. They will have to meet the ST-Ericsson, Broadcom and of course, Intel. Broadcom just announced that they have always – begun – they always LTE (inaudible) and that on top of Nokia and Samsung will be head. So in the MediaTek, we’ll have to compete with all those guys.
Vijay Rakesh – Agee: Got it. Okay. Great. Thanks.
Gideon Wertheizer: Thank you.
Operator: Your next question comes from the line of Suji De Silva with ThinkEquity.
Suji De Silva – ThinkEquity: Good morning, guys. Nice job on the quarter. On the licensing deals we’ve seen just a handful of wealth announcements. I know in the past that’s caused licensing, maybe to slowdown, have you seen any hesitancy in people doing projects versus the past few months?
Gideon Wertheizer: No. What we think in the area of, we are mastering on the contrary we see lot of people doing MT design and a lot of them are by the way in China. Mainly newcomers into the space, with all sorts of idea of combining connectivity with various brands and multimedia with various brands. So that bring the LTE space and well for the MF 3000 the multimedia and we see different types of players. All of them are looking for the integration of baseband and applications also. They are aligning group in 2014, 70% of the chips on the market in this space will be integrated. So we see application products for guys -- that’s coming to us and are interested in the CEVA-XC program modem and the segment that CEVA-XC the software platform that -- that’s easiest lot for them. They just put the code and then through software and multiplied it to the server and this application does -- it looks for modem and we see modem drive that link strong multimedia like 3D videos, like imaging where you need for the camera functions stills. They are coming to us so for them it’s 3000. So to summarize on the design activity center you don’t see slowdown.
Suji De Silva – ThinkEquity: Very good and then are you guys -- how are you positioned for I guess the low-end smartphone market which is kind of on the come here in China particularly?
Gideon Wertheizer: Well they are not -- we should not count the lone smartphone, I would say from our standpoint in two perspectives. One is more of the moderate is EDGE. We have to give you an indication here with positive signs just to receive them today. In India, EDGE get confidence of 3G. Today we get unlimited data capability with EDGE even though it’s slow, but it costs you about $4. If you want a 3G in India, you pay $16 for 1.5 megabytes and for that you have to have a smartphone and all the things. So what we see there in China and I need to give you an example, you have to use our technology by the way for the multimedia side, we have smartphone pretty cheap that the modern is EDGE, which is considered 2.75 or 2.5G. That’s one thing. The other thing is the 3G smartphone and -- which is mainly under its base and here there are a bunch of companies that are integrated with any one chip, you know as Qualcomm has one, Broadcom has one, Intel has one, Spreadtrum has one. So this could be a very low cost modem in 3G and not necessarily LTE and android.
Suji De Silva – ThinkEquity: I mean would you say the cost was in India for EDGE versus 3G was $16 with EDGE, I missed it?
Gideon Wertheizer: I said that the operator fee for EDGE is 5 -- it’s about $4 unlimited and if you compare to 3G in India it’s 16.
Suji De Silva – ThinkEquity: Got it. Great. And last question, on the merchant market, I think someone asked about your share in DSPs, are you seeing a competitive dynamic change, any new competitors coming in? Thanks.
Gideon Wertheizer: In the – even the two space on baseband?
Suji De Silva – ThinkEquity: The merchant DSP market, one you didn’t, I mean, are you seeing new competitors in your IP space?
Gideon Wertheizer: Well, all always you know our competitors whenever we go for licensing agreements now and we get a competitor -- we find a competitor. And as I said, we are the only company today that has the track record in the space in the DSP, the track record and the product portfolio. These are the two main strengths of us and also competitors.
Suji De Silva – ThinkEquity: Thanks.
Gideon Wertheizer: Thank you.
Operator: That was our last question. I will now turn the call back over to Richard Kingston for closing remarks.
Richard Kingston: Thank you, everyone for joining us today and for your continued interest in supporting CEVA. We will be attending the following upcoming conferences and events and invite you to join us there. The 13th Annual Pacific Crest Global Technology Leadership Forum in Vail, Colorado on August 8. Oppenheimer’s 14th Annual Technology and Communications Conference on August 9th in Boston, the Rodman & Renshaw Annual Global Investment Conference on September 12th in New York, G8: ThinkEquity’s 8th Annual Growth Conference on September the 13th in New York and Deutsche Bank 2011 Technology Conference on September the 14th in Las Vegas. Thank you everyone and good-bye.
Operator: Ladies and gentlemen, this concludes today’s conference call. You may now disconnect.